Operator: Good morning, ladies and gentlemen. Thank you for attending today's BBTV Holdings to Host First Quarter 2022 Conference Call. My name is Tia, and I will be your moderator for today's call [Operator Instructions].  I will now pass the conference over to your host, Nancy Glaister, General Counsel and Legal Officer with BBTV Holdings. You may proceed.
Nancy Glaister: Welcome to BBTV's fiscal first quarter 2022 conference call. I'm Nancy Glaister, General Counsel for BBTV. During the course of this conference call, we may provide forward-looking information and make forward-looking statements within the meaning of applicable securities laws. These are statements regarding the company's current expectations, goals and beliefs about future events. Forward-looking statements are statements about the future and are inherently uncertain. Any financial or other goals discussed are goals only and are not meant to be taken as future oriented financial information or guarantees of future results or performance. All of our forward-looking statements are necessarily based on a number of assumptions, and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those contained in our forward-looking statements. These include the risks that our assumptions may not be accurate, as well as the risk factors contained in our press release and MD&A issued yesterday, as well as in our latest annual information form filed on sedar.com. We undertake no obligation to update these forward-looking statements, except as required by law. You can read more about these assumptions, risks and uncertainties in our press release and MD&A issued yesterdy, as well as in our AIF dated March 29, 2022 filed with Canadian securities regulators and sedar.com. Also, our commentary today will include adjusted financial measures and ratios, which are non-GAAP financial measures. Although the company believes these non-GAAP financial measures and ratios are useful in evaluating the company, these should be considered as a supplement to and not as a substitute for financial information prepared and presented in accordance with IFRS. Reconciliations between the two could be found in on our earnings press release and our MD&A, which are available on our Web site and on sedar.com. Lastly, we also report on certain metrics, such as Views and RPMs. A further description of these metrics, which are also non-GAAP measures, can also be found in our earnings press release and our MD&A. I now turn the call over to the BBTV's Chief Executive Officer, Shahrzad Rafati.
Shahrzad Rafati: Hi everyone, and welcome to BBTV's first quarter 2022 analysts call. We press released some of our financial information earlier and posted our financial statements and MD&A to SEDAR. As a reminder to everyone on the call today, we're a greater monetization company with a mission to help creators succeed by increasing their viewership and making them more money. From individual content creators to global media companies, BBTV provides comprehensive end to end solutions powered by our innovative Visa platform, which helps creators make more money while allowing them to focus on their core competency, which is content creation. BBTV has more than 600 million monthly unique viewers globally and in Q1 we generated, 105 billion views of video content. Over the past month, we press released a couple of updates highlighting the strengths of the quarter for our Plus Solutions. Our continued investment into Plus Solutions has led to a promising 69% increase in revenues for the segment year-over-year in Q1 2022, which drove a record 13% Plus Solutions contribution to total revenues this quarter, nearly doubling from 7% in Q1 of 2021. Importantly, revenue growth is unanimous across content management, direct advertising and mobile gaming apps, with each respectively exceeding 40% revenue growth year-over-year in Q1. We now expect Plus Solutions revenue growth to exceed 40% on an annual basis, nearly doubling our previously guided annual growth rates of 23%. From a gross profits perspective, Plus Solutions represent a record 30% to 40% of total gross profit contribution in Q1, up from 15% to 25% last year. This performance across the board is the result of the decision we made to focus on our higher margin Plus Solutions, which makes us a lot less sensitive to the short term volatility of views. This has given us further confidence to continue investing in our Plus Solutions to drive further growth for this important segment of our business. For content management, BBTV has recently expanded and deepened key relationships with its leading portfolio of new and existing clients, including the NBA, Fox, Sony Pictures, Paramount Global, Univision, Riot Games, CMF and TEGNA. It's important to highlight that BBTV has maintained a strong retention rate of 96% this quarter for media company clients within its content management division in line with historical performance, illustrating the strength of BBTV solutions for some of the most recognized brands in the world. Not only is content management a reliable and highly recurring revenue stream, their continued success for the business unit also opens up wider partnerships. Several of BBTV's long standing content management clients have expanded beyond content management to more integrated partnerships, such as the NBA Playmakers basketball culture network formed in 2016, and the company's recent collaboration with Paramount on the launch of the Jackass Human Slingshot mobile gaming app. Regarding direct advertising sales. In Q1, we were focused on enhancing our existing relationships and expanding relationships into broader market segments, including auto, entertainment, finance, beverage, health, ready-to-drink and media streaming. Average order size increased by 63% year-over-year and continued momentum in the first quarter along a number of fronts is positioning us well for further growth in 2022. In February, we launched our first mobile gaming app in partnership with major media company, Paramount, for the launch of Jackass Human Slingshot, which has set new monetization records for the division with a lifetime value more than 200% higher than any previous game. As we mentioned, in our last earnings call, our focus has been on increasing overall monetization of our mobile gaming apps. And we are very pleased that our efforts have paid off. As of the end of Q1, we have now published a total of 15 mobile gaming apps with a combined 42 million downloads and an average rating of 4.6 out of 5 with negligible marketing spend. In Q1 BBTV continued to progress on a number of fronts for our Web3 strategy, including key partnerships with both creators and major media companies, most of which are existing customers, which we'll be able to highlight more in the coming months. And we are encouraged by the response we've been receiving and excited about the growth opportunities moving forward. On the technology front, we made strong progress in the development of our Web3 solutions in collaboration with ConsenSys, a partnership, which we announced just prior to our Q4 and fiscal earnings call. We were excited to roll out in the number of solutions in the coming months. For example, we activated a proof of concept marketplace and we are working with it to further enhance our solutions to meet the needs of our content creators. In Q1 2022 views declined by 9% in comparison to Q1 2021, consistent with the declines seen in H2 2021. There are two main factors to this. The first was the end of COVID related lockdowns in many parts of the world, which resulted in less viewership on most forms of digital video. During the COVID related lockdowns, viewership was amplified. Further, if we compare the sequential change in views from Q4 2021 to Q1 2022, the seasonal change in views is in line with the sequential growth rates seen in the past years. As the seasonal trends remain comparable, we still believe that we're in the more normalized period of viewership consumption entering 2022. The second factor was that there is growing demand for micro content like YouTube shorts, TikTok and Instagram Reels. Micro content views are not currently monetized. We're in early stages of signing these crators as the main focus for our content acquisition team is to onboard monetizable content creators. We expect this format will be monetized in several quarters from now and should the RPMs for micro content be similar to our short form content, it could represent 90 million of annual revenue upon its activation based on our current viewership. While RPMs were down by 5% from $0.86 in Q1 '21 to $0.82 in Q1 2022, excluding YouTube Shorts viewership, RPMs increased by 16%. The monetization of YouTube Shorts, as I mentioned earlier, will counteract the RPM decline once enabled in the coming quarters. In the meantime, our emphasis on Plus Solutions has made us less sensitive to viewership fluctuations as we focus on generating incremental and higher margin revenue streams. Our churn rate continues to be low amongst creators on the BBTV platform. In Q1, our views retention was exceptional at 98%. We believe the inherent value of our service is clearly reflected in our retention performance. We have been able to retain more audiences in comparison to the industry as viewership normalizes post COVID. Again, we're convinced that this is due to the quality of our solutions and our effectiveness in monetizing content on behalf of our content creators. Overall, we're pleased with the market response towards our Plus Solutions, in particular the growth in content management, which is a highly predictable reoccurring revenue stream, and continue to garner a lot of interest from enterprise partners, including Fortune 500 companies. We are equally excited about the developments in direct advertising sales, mobile gaming apps, as well as our strategic move into Web3. I'm going to hand the call over to our CFO, Ben Groot to review our financial performance and details. And then after that, I will highlight our outlook for the business. Ben, please take it away.
Ben Groot: Thank you, Shahrzad and good morning, everyone. Before I begin the review of our Q1 performance, I'd like to remind everyone that our cost of revenue as presented in our results includes the amortization of the assets recorded as part of the purchase price allocation or PPA, when BBTV Holdings acquired our main operating entity BroadbandTV Corp for IPO in the fourth quarter of 2020. Amortization associated with the PPA in the amount of $7.4 million was recorded in cost of revenue for Q1 of 2022. It should be noted that this is a non-recurring transaction and the amortization is non-cash. Accordingly, we will provide commentary on the company's gross profit and gross margin as per the statutory filings without the PPA amortization, as well as the metrics of BBTV share and adjusted gross margin. Now turning to our results, the highlights for the first quarter include another strong quarter for our Plus Solutions, which continues to perform extremely well, reflecting the benefit of our investments over the past year, further improvements in our overall gross margin as our revenue mix continues to shift in a positive direction, and an exceptionally high viewership retention rate of 98% for Q1. Total revenue for Q1 was $98.8 million, which is 7% lower than the same quarter last year as we are comparing it against a period with higher viewership consumption during the COVID related lockdowns. Additionally, we continue to see the impact of the recent growth and consumption of micro content, which as we've talked about in previous quarters, has not yet been monetized. As usual, our first quarter revenue is down from Q4, which is our seasonally strong quarter. Our total views of 105 billion were down by 9% from Q1 of 2021, which is consistent with the views consumption patterns we saw in the second half of last year. As the seasonal trends in viewership comparing Q4 to Q1 are in line with past years, we believe we are in more normalized period of viewership consumption entering 2022. RPMs were down by 5% in the quarter compared to a year earlier due to the impact of YouTube Shorts viewership, which represented about 20% of our views in the first quarter, roughly the same as in Q4. Since YouTube Shorts is not presently being monetized, it artificially depresses the RPM figures. If we exclude YouTube Shorts viewership, our RPMs would have grown by 16% year-over-year in the quarter. We expect this format will be monetized in the coming quarters and as such, we consider it to be a significant future growth opportunity. If the RPMs for micro content are similar to our short form content, it could represent $90 million of annual revenue for us upon activation based on the current viewership today. We expect our RPMs to continue to trend upwards as Plus Solutions continues to scale, and as YouTube Shorts monetization is activated. The combined impact of the lower views in RPMs is reflected in our base solutions revenue, which was down 13% to $86 million. But our Plus Solution saw strong growth with revenue up 69% from a year earlier to $12.8 million, and now represents 13% of our total revenue and 30% to 40% of our gross profit, both of which are new records. The growth in Plus Solutions was led by continued strong performance in content management, with our direct sales and mobile gaming apps also having strong growth in the quarter. We were very pleased with this result and we are now expecting that our Plus Solutions revenue growth rate could exceed 40% on an annual basis, which is almost double our previous guidance of 23% annual growth. While there will continue to be some lumpiness and its ramp up, we expect Plus Solutions to see further benefits from our investments, allowing us to grow our BBTV share and gross profit at a faster rate than our total revenue as we continue to unlock the value of our existing creators. We remain focused on higher margin Plus Solutions and we are becoming less sensitive to the short term volatility of views. Our gross profit for Q1 was $9.2 million excluding PPA amortization, representing a gross margin of 9.3%. This improved from 9% in the first quarter of last year due to the higher revenue mix of Plus Solutions. BBTV share, which is revenue less content creator and third-party platform fees, was $9.6 million and our adjusted gross margin was 95.6% comparable to the first quarter last year. Operating expenses were $15.4 million for the quarter or 0.7 million higher than the same period last year due to a higher noncash share based compensation. Operating expenses would have otherwise declined year-over-year highlighting our ongoing operational efficiencies as we scale. Due to our higher OpEx investments in Plus Solutions, coupled with lower base solutions revenue resulted in adjusted EBITDA loss of $3.7 million for Q1. The adjusted EBITDA margin declined by only 1.3% year-over-year despite the monetization gap for micro content and our continued OpEx investments to accelerate the ramp up of Plus Solutions. In terms of the balance sheet, we ended the quarter with $21.6 million in cash and our long-term debt balance was $52.5 million with a maturity in 2026. I will now turn it back to Shahrzad.
Shahrzad Rafati: Thank you, Ben. I would like to itemize some of the activities that we're working on to scale our revenues and increase our margins. We will continue to concentrate most of our activities on Plus Solutions where margins are higher and opportunities are increasing. When it comes to content management, in addition to the continued expansion of new and existing media companies and creator clients, we're continuing to focus on tailoring our content management services to consumer brands, which will significantly expand the address global market for our solutions. This builds upon some initial work we have done with clients like Shopify. Looking forward as it relates to direct advertising sales and what we're doing, we are focused on the migration of ad dollars from linear, such as TV to digital audiences. Our objective is to present the exclusive reach of our young demographic to traditional TV buyers and package our premium content offering. Secondly, we're focused on signing strategic deals with agencies to further increase order size and increase the volume of orders. With the utility of cookies declining further in the first half of 2022, advertisers are looking to engage directly with consumers, particularly to contextual advertising. BBTV has the rights and insights into the content and has developed unique first party datasets. It is our ability to exclusively access that first party data and to build highly targeted and effective contextual advertising campaigns that sets us apart. This is a key driver for our direct advertising pipeline. Finally, brands are spending more with diverse media companies to reach multicultural audiences of all generations. Given BBTV's offering for this audience, the company is very well positioned to benefit from this [strips]. When it comes to mobile gaming apps, we continue to see progress in increasing the lifetime value of our users across the board. In Q1 2022, we increased the average user value significantly. While we already leverage our unique competitive advantage for organic user acquisition, we have also begun to test user acquisition for Jackass Human Slingshot and we are currently achieving a positive return on ad spend. As a result, we are focused on building games with higher lifetime value. With our scale and expertise we're uniquely positioned to empower the growth of Web3’s creator economy and we're exploring this opportunity now and moving forward. BBTV is continuing to progress on a number of fronts for our Web3 strategy, including key partnerships with both creators and major media companies as I mentioned earlier, most of which are existing customers. We will be providing creative marketing and content management solutions and other tools to empower creators who lack the knowledge or expertise to expand their IP and presence into Web3. From conceptualization and design to packaging to promotion across the right channels and audiences, our approach for creators will be comprehensive to drive the best results for them. And with BBTVs end to end solutions, deeper relationships and high performance team and expertise, we will apply our existing strengths to the Web3 creator economy. This will also further strengthen and deepen our relationship with content creators very similar to what we've done to our other Plus Solutions. With respect to M&A, we remain engaged on several fronts and we will ensure that any transactions that we do in the future are accretive to current share price levels. I would like to quickly touch on our base solutions before I conclude. The viewership scale and revenue streams associated with the base solutions business continue to attract high quality creators, which is a powerful funnel for our Plus Solutions. We have spent the past 17 years continuously automating and optimizing this business to the point that now where it operates with minimal costs. The scale and efficiency affords us the opportunity to invest in new higher margin revenue streams and services that add value for creators and shareholders alike. We have over 600 million unique viewers and one of the largest repositories of content and data in the world. Although our investments in this mature sector are minimal compared to the time and efforts that we're putting into Plus Solutions, including Web3, I want to recognize that base solutions are essential to our scaling efforts. We have exciting things occurring in base solutions and we will talk about them in the near future. I want to conclude by saying that we have a very strong business model that is really valuable to the creators and make us sticky. Our business model and technology are highly scalable and extensible. So we're able to continue to add new revenue streams at minimal expense, and we have proven that our business model delivers meaningful cash flow. We have the balance sheet and the operating cash flow available to us to establish BBTV on the forefront of the Web3 transition that many of our creators are looking for, and based on our recent announcements, we are already investing in. This is an exciting time for BBTV. If I would leave you with one thing to think about regarding our stock, we have almost $22 million of cash on our balance sheet. And we have one of the most viewed libraries of creator content in the world, which according to comScore is nearly two times that of Disney. Right now our stock is trading at less than 2x cash. We're excited about the future. Our business is strong. And I believe that we're allocating capital in a way that maximizes the value for our company and our shareholders. We can now open it up for questions.
Operator: Absolutely. We will now begin the Q&A session [Operator Instructions]. The first question is from the line of Adhir Kadve with Eight Capital.
Adhir Kadve: Can you give us a sense of the investments that you're making in your direct sales team? I know last quarter, you guys mentioned that you wanted to grow headcount there by 30%. So maybe give us a sense of where you are in that hiring cycle?
Shahrzad Rafati: We obviously have seen significant growth across our Plus Solutions. And that's across all segments, including direct advertising. And we have expanded the team, we don't actually, as you know, share breakdown but we've had great success and expanding a team. And obviously, our focus is specifically key regions in the US, from the East Coast to central to the West Coast. So we're certainly on track and we're seeing this in our growth rates of more than 40% were at sales, and of course, 69% across all Plus Solutions.
Adhir Kadve: And then just maybe one more on content creation, that seems to be one of the areas of outsized strength that you guys saw, and you kind of touched on this. But maybe you can give us a little bit more color on the sense of the pipeline for newer clients, some new clients that you can maybe onboard on to the solution? Can you give us some additional color on that?
Shahrzad Rafati: We had a really strong quarter, as we announced, we had -- not only we've renewed key partnerships like Univision and Fox, but we also signed deals in different regions. For example, Riot Games was our expansion into APAC region, as well as signing up specifically new content creators across all the regions that we're operating in. As you know, we operate in 28 different countries. We also have expanded our solutions. For example, on the Plus side, we're offering more 360 solutions, specifically to any brands or media company in this case. We tested for example, on the content management side our solutions with brands like Shopify and that has given us the confidence to further expand that with other partnerships. We also are looking at existing clients and growing existing clients across new solutions. I think NBA Playmakers is a -- NBA is a great example of that, in terms of how we grew that partnership across a variety of different solutions. We did the same thing with Paramount with the launch of the mobile apps with Paramount. So we're seeing this across all the regions that we're operating in.
Operator: [Operator Instructions] There are no additional questions at this time. I will pass it back to the management team for any further remarks.
Shahrzad Rafati: This is great. Maybe we just give it a couple more seconds for any additional questions, and if not, we can definitely have it close.
Operator: That concludes today's conference call. Thank you. You may now disconnect your line.